Operator: Goody day, ladies and gentlemen and welcome to the Applied Optoelectronics Q2 Financial Results Conference Call. Today's conference is being recorded. (Operator instructions) I will now turn the conference over to Ms. Maria Riley. Please go ahead, Ms. Riley.
Maria Riley: Thank you. I am Maria Riley of Applied Optoelectronics Investor Relations, and I am pleased to welcome you to AOI’s second quarter 2014 financial results conference call. After the market closed today, AOI issued a press release announcing its Q2 2014 financial results. The release is also available on the company’s Web site at ao-inc.com. This call is being recorded and has webcast slides. A link to that recording can be found on the Investor Relations page of the AOI Web site and will be archived for 90 days. Joining us on today’s call is Dr. Thompson Lin, AOI’s Founder, Chairman and CEO; and Dr. Stefan Murry, AOI’s Chief Strategy Officer and incoming CFO. Thompson will give an overview of AOI's Q2 results and Stefan will provide financial details and an update on AOI's strategy in market. A question-and-answer session will follow our prepared remarks. Before we begin, I would like to remind you to review AOI’s Safe Harbor statement. On today’s call, management will make forward-looking statements. These forward-looking statements involve risks and uncertainties, as well as assumptions and current expectations, which could cause the company's actual results to differ materially from those anticipated in such forward-looking statements. You can identify forward-looking statements by terminologies such as may, expects, plan or believe, and by similar expressions. Except as required by a law, we assume no obligation to update forward-looking statements for any reason after the date of this earnings call to conform these statements to actual results or to change in the company's expectations. More information about other risks that may impact the company’s business are set forth in the risk factors section of the company’s prospectus and are, of course, on file with the SEC. Also with the exception of revenue, all financial numbers discussed today are on a non-GAAP basis, unless specifically noted otherwise. Non-GAAP financial measures are not intended to be considered in isolation or as a substitute for results prepared in accordance with GAAP. A reconciliation between our GAAP and non-GAAP measures as well as a discussion of why we present non-GAAP financial measures are included in our earnings press release that is available on our Web site. Now I would like to turn the call over to Dr. Thompson Lin, Applied Optoelectronics' President, Founder and CEO. Thompson?
Thompson Lin: Thank you, Maria. Thank you for joining us today. We delivered very strong second quarter results exceeding both current bottom line expectations. We achieved our fifth consecutive quarter of record revenue. Maintained gross margin of 34.4% and demonstrated solid earnings growth. More specifically, second quarter revenue grew 67% year-over-year and 31% sequentially to reach a record $32.7 million and we achieved record non-GAAP net income of $2.4 million, up 184% sequentially. Both our data center and fiber-to-the-home products saw a tremendous growth this quarter. Our data center revenue grew 170% year-over-year and 55% sequentially primarily a result of increased share within our existing customer base. Fiber-to-the-home revenue grew 339% year-over-year and 40% sequentially to reach a record $3.1 million. As we continue to increase shipments of our WDM-PON products for our foundational fiber-to-the-home customer. We continue to execute on our growth plan in order to capitalize on our growing market. In July we added a key member to our sales team in Taiwan to help broaden our data center customer base. We are quickly ramping our production capacity in order to keep pace with the strong customer demand for our industry building products and I am very pleased to announce that in July we shipped our 1 millionth laser so far this year surpassing this annual milestone mid-year. I am sure many of you have heard me say this before but it would be better if it was repeated because it sets AOI apart from the crowd and is helping drive our success. AOI is one of the few optical component suppliers focused on the optical access market. Our vertical integration from laser chip to equipment coupled with our design and manufacture capabilities are keys to a continuation of our strong growth. We are very excited by both our current result and bright future ahead of us. Given the strong growth demand within our three markets, we plan to build a new facility in Sugar Land our expand our R&D and laser manufacturing capabilities. We expect to start construction in October and have the facility online by end of 2015. Finally, many of you have seen our announcement regarding James Dunn's departure from AOI. As we noted in the announcement, James would be leaving the company on August 15 in order to pursue other opportunities. James' service to AOI has been very helpful during the [various] (ph) starting time for the company. We thank him for his contribution and we wish him all the best. Dr. Stefan Murry, currently AOI's Chief Strategy Officer, has been appointed by the board to serve as AOI's CFO upon James departure. Stefan has been with AOI since the start and has been actively involved in all aspects of AOI management throughout the years. His in-depth knowledge of our business and his demonstrated commitment and leadership capabilities position him very well for success in his new role. With that, I will turn the call over to Stefan to present the details of our Q2 performance and outlook for Q3. Stefan?
Stefan Murry: Thank you. As Thompson indicated, we achieved our fifth consecutive quarter of record revenue with a very strong gross margin profile. Total second quarter revenue grew 31% sequentially to reach record revenue of $32.7 million. Looking at revenue by customer, 88% of our second quarter revenue was derived from our top 10 customers with data center revenue providing over half of that total. Looking at our growth by market, revenues from CATV products in the second quarter was within our expectations of $10.6 million, an increase of 1% from the $10.5 million reported in the same period last year and up 9% sequentially. We see two near-term catalysts that will drive revenue growth for our CATV broadband products in the back half of 2014 and into 2015. First, the impending DOCSIS 3.1 upgrade cycle, and second, the move to fiber deep architectures, both of these are driven by increasing consumer demand for more and faster bandwidth and by competitive pressures CATV providers are facing from new market entrants like, Google Fiber and other 1G fiber-to-the-home initiative. Looking into these growth drivers in more detail, recall that DOCSIS 3.1 is the new, high-speed data over cable is standard that will allow cable operators to deliver next-generation broadband services over their HFC networks. As part of the DOCSIS 3.1 upgrade, MSOs will need to deploy new equipment in the head end, or central office, the node and in the customer premise. As the largest CATV ODM equipment supplier, we are actively involved with many of our key CATV equipment customers in developing the head end and node products that will form the basis of their DOCSIS 3.1 network. In Q2, we were awarded four key development contracts by one of our key cable TV customers, specifically related to DOCSIS 3.1 node and head end equipment and related accessories. We expect to finish most of this development by Q4 of this year. We believe some cable operators will look to fiber deep architectures to improve the customer experience by reducing network congestion. In a fiber deep architecture, fewer homes are serviced per individual node and fewer nodes are connected to each head end transmitter. As a result, cable operators will need to significantly increase the number of nodes in their network compared with their current architectures. For example, we are starting to see new provisioning strategies that reduce the number of homes served per node from the typical 400 to 500 homes to 150 to 200 homes per node, resulting in more than double the amount of nodes in their networks. Looking at the incremental revenue from this upgrade cycle in CATV, we currently project a $430 million total expenditure and head end equipment and nodes from North American MSOs over the next 4 to 5 years. We derive that estimate by using the approximately 54 million homes currently using CATV broadband in the United States and 200 homes per node along with the ASP associated with our new DOCSIS 3.1 CATV products. The revenue we derive from this upgrade cycle will be additive to our CATV revenue from international markets which continue to be strong, particularly in China and South and Southeast Asia. Additionally, I would like to comment on recent announcements made by some CATV providers that they intend to deploy fiber-to-the-home services in select markets. From a technology standpoint, there are a number of options for CATV providers to offer FTTH type services. Some of these include RFoG, GPON, GEPON, Ethernet over co-ax, and of course WDM-PON. AOI is a provider of components for RFoG, GPON, EOC and WDM-PON. So from a technology standpoint, a movement towards fiber-to-the-home deployments by CATV providers should be an incremental growth catalyst for AOI. Based on all these growth drivers, we expect our CATV revenue to grow in excess of 20% in 2015 compared with 2014. And as we have mentioned on previous calls, we continue to expect CATV revenue growth for 2014 to be in the single digits as MSOs in North America await commercial availability of DOCSIS 3.1 equipment. Looking now at our data center business. Revenue was again very strong and exceeded our own expectations. Data center revenue was $17.9 million, nearly triple the revenue in the same period last year and 55% higher than in the previous quarter. Our strong data center growth in Q2 was primarily within our existing customer base and consisted mostly of our 10G product. Although we are pleased to report that 40G products represented 13% of our Internet data center revenue. Based on current customer expectations, we believe that 40G products will reach 50% of our data center revenue by the end of 2014, which is earlier than we had previously expected. We believe that this demonstrates both the strong demand for 40G product and AOI's capability to rapidly expand production capacity to match the demand while maintaining the discipline in manufacturing process needed to generate solid gross margin. Additionally, the advancement of 100G products in the data center is moving faster than originally anticipated. Based on customer requests we are now working on developing 100G solution and we expect to complete the development of these products in early Q2 of 2015, with customer qualification to follow. This is fully in line with customer expectations as is our plan to be in volume production of 100G products towards the end of Q2 of 2015. Given current market dynamics and customer forecast, we believe that we will maintain our Q2 data center revenue level in Q3 and Q4. While we currently do not see any indication of a deceleration in port growth, we believe that if there is a slowing of data center port deployments in 2015, this affect will be moderate and will be compensated for by the increased ASP of our 40G and 100G products. We are making good progress in our discussions with our new data center customers as a result of the sales channel incentive that we announced last quarter and our recent hire of a new VP of sales in Taiwan dedicated to the data center market. With continued growth from our existing customers and the addition of new customers, we believe that data center revenue will grow by more than 45% in 2015 compared with 2014. Turning to our fiber-to-the-home market. Revenue grew 339% year-over-year and 40% sequentially to $3.1 million. During Q2, our first production line Sugar Land was operating at full capacity and we continued the process of bringing up our three additional lines in Taiwan. This capacity is needed because we expect to see additional field deployments of our WDM-PON OLT by our foundational customer in Q3 and larger deployments in other cities in early 2015. However, we are expecting a slower than originally anticipated ramp in Q3 and Q4 due to a one to two quarter push out at our customer's deployment schedule, and we will accordingly delay the buildout of the additional three lines in Taipei that had been planned for Q4. We believe this slight push out in the schedule does not reflect a fundamental shift in our customer's plans. In fact, we have been contracted by our customer to form additional long-term reliability testing as part of their ongoing deployment plan in order to verify long-term reliability prior to larger scale deployments. We believe this additional testing is a strong sign that our customer continues to make progress towards deploying WDM-PON in new markets. So we view this as a vote of confidence by our customer. This testing is already ongoing and we will need to build a meaningful number of units for this testing. So our production lines will continue to operate at close to their full capacity. Regarding our ONU tunable transceiver we continue to make progress toward qualification and have had new increase about our WDM-PON technology from several potential customers. We believe that AOI is very well positioned to take advantage of the ever increasing bandwidth growth within the optical access market. Moving down the income statement. We are very pleased with the gross margin expansion we have seen in the last two quarters. Given the strong revenue contribution from our data center and fiber-to-the-home products, Q2 total gross margin remained relatively consistent with the previous quarter at 34.4% and well above our 2013 annual corporate average. Turning now to operating expenses. Overall operating expenses were in line with our expectations and while Q2 operating expenses were up on a dollar basis, given our topline growth operating expenses as a percent of revenue declined, bringing us closer to our target model. R&D expense was $4.0 million or 12% of revenue, up $0.5 million from the previous quarter. Consistent with our plan we continued our investments in 100G data center product, our fiber-to-the-home ONU transceiver and DOCSIS 3.1 technology. We expect R&D investment to remain at this dollar level throughout the remainder of 2014 with R&D expense continuing to decrease as a percentage of total revenue. We will continue to balance R&D investment appropriately in order to capture market share and promote growth at both the top and bottom line. Sales and marketing expense was $1.5 million or 5% of revenue, up $0.2 million from the previous quarter primarily due to increased commission cost and the additional sales channel incentives. Looking at the balance of the year, we plan on maintaining sales and marketing expense at approximately $1.5 million per quarter. G&A expense was $3.4 million or 10% of total revenue, up $0.4 million when compared to the previous quarter primarily due to increased personnel cost in Taiwan and additional rent expense associated with the transition to our new facility in Taiwan. The move from our existing facility in Taiwan is underway and progressing well and we expect the additional rent expense to subside by the end of the year. Non-GAAP operating income in Q2 was $2.3 million for an operating margin of 7% and in Q2 we achieved EBITDA of $3.7 million or 11% of revenue. Non-GAAP net income after tax for the second quarter was $2.4 million or 7.2% of revenue as compared with only $0.8 million in the previous quarter and a loss of $0.1 million in the same quarter last year. We generated non-GAAP net income of $0.15 per share and GAAP net income of $0.12 per share using a weighted average fully diluted share count of approximately 15.6 million shares. Overall, we are very pleased with the direction of our business. We have made some strategic investments in R&D and sales and marketing that we expect will help expand our growth and drive leverage to our bottom line. The target model we outlined about a year ago provided for gross margin of 33% to 35% and operating margin in the range of 17% to 20% on a $60 million quarterly revenue run rate. Given the current growth trajectory of our business combined with above 34% gross margin, we currently expect to achieve our target operating model in early 2016. Turning now to the balance sheet. We ended Q2 with $43.0 million in total cash, cash equivalents and short-term investments, compared with $61.1 million at the end of the previous quarter. During the quarter we repaid $10.7 million in debt, invested $7.5 million in capital investments and increased inventory by $7.3 million. Accounts receivable increased by $1.2 million to $25.0 million consistent with growth in revenue. Inventory increased to $31.2 million mostly related to our data center and FTTH products. We expect to maintain inventory at this level as we increase safety stock to meet rising product demand. The ageing of our accounts receivable in inventory remained consistent with prior periods. Consistent with our plan we made a total of $7.5 million in capital investments in the quarter, primarily to expand production capacity for our data center transceivers and WDM-PON transceivers in Taiwan. This brings our CapEx for the six-month period to $13.1 million. As we previously announced we expect to spend a total of $16 million to $18 million this year on machinery and equipment to expand production capacity. Including capital expenditures related to our facility expansion in Taiwan, we expect total CapEx for the year to be approximately $26 million. As Thompson mentioned, in July we shipped our one millionth laser for the year. This is significant in its own right but we believe it reflects the deeper trend towards more and more optical devices being used in higher bandwidth systems. For example, our WDM-PON OLT transceiver uses 16 individual laser diodes in each unit. Thus, each unit sale of an OLT transceiver represents 16 laser chips manufactured by AOI. Similarly, 40G and 100G data center transceivers will feature multiple lasers in each module. As a result, our fab must increase its production rate faster than might otherwise be apparent by a cursory analysis of unit transceiver sales. We believe this trend is fundamental and points to why AOI's vertically integrated model is a competitive advantage compared to companies that rely on external sources for key components like laser diodes. In order to support the rapid growth of our data center and fiber-to-the-home product and to support our longer term growth plans, we have begun planning an expansion of our R&D and laser manufacturing facility in Texas. Our plan includes moving out of a nearby rented space and constructing a new wafer fab and R&D center on our existing property directly adjacent to our current building, thereby consolidating our Sugar Land operations back into one location. The new facility will provide enhanced wafer fabrication capacity and expanded leisure component manufacturing capabilities. We have designed the facility to provide sustained R&D and manufacturing capacity that we need today and that will serve us well in the future. We expect the new facility to cost approximately $30 million and we plan to finance it through traditional, commercial mortgage lending. We expect construction to begin in October and expect to complete the facility by the end of 2015. Moving to our outlook for Q3 of 2014. We are entering the quarter with very strong bookings and forecasted demand and we expect to achieve our sixth consecutive quarter of record revenue. Therefore, in Q3 we expect revenue between $35.2 million to $36.6 million, representing an impressive 70% to 76% year-over-year growth rate and 8% to 12% sequential growth. In Q3 we expect non-GAAP gross margin to be in the range of 34% to 34.5%, reflecting a similar revenue mix compared with the first half of the year, offset by a slightly higher percentage of CATV revenue. Non-GAAP net income is expected to be in the range of $3.2 million to $3.9 million and non-GAAP EPS on a fully diluted basis between $0.21 per share and $0.25 per share, using a weighted average fully diluted share count of approximately 15.7 million shares. To provide for the visibility for the second half of 2014, we expect total revenue for 2014 to be in the range of $131 million to $135 million and non-GAAP EPS on a fully diluted basis between $0.70 per share and $0.76 per share using a weighted average fully diluted share count of approximately 15.7 million shares. With that I will turn it back over to the operator for the Q&A session. Operator?
Operator: (Operator Instructions) We will go first to Simon Leopold with Raymond James.
Simon Leopold - Raymond James: A couple of things I wanted to check on. You made a couple of comments that may be are a little bit conflicting. You've indicated you are making an assumption of a similar product mix but then as you spoke about the various line items, I had the feeling that cable TV would be up in the third quarter, data center relatively flat and the fiber-to-the-home up but on more sallow ramp then prior expectations. So if you could help me compared to similar mix to the commentary on each of the individual segments if I summarized this correctly.
Stefan Murry: Hey, Simon, this is Stefan. So what we see basically is data center being relatively flattish like we pointed out, so you are correct on that. Cable TV, we think will be up slightly, perhaps, but not, maybe not a whole lot. And then FTTH will be, again, relatively flat over the next two quarters as indicated. So you got that part pretty much correct. But what we are talking about, relatively consistent mix, I mean these are not big changes from the last quarter is what we are seeing.
Simon Leopold - Raymond James: Okay. And then you talked about a little bit of a push out on the fiber-to-the-home business. You mentioned one to two quarter. Do you have insight into the cause of that push out? Is it complications with permitting, delays in construction activity, other resources? Help us understand the why in terms of the push out.
Stefan Murry: Well, we have had a lot of customer conversations about that, obviously, but I can't really give you a whole lot of insight into the nature of the push out. What we know is that, what I can say for sure is it has nothing to do with AOI's product or the technology. They are moving ahead, pushing our product out as we mentioned, into field trials. We have had an internal speed trial, if you will, within our customer -- within their building. That was operating for the last couple of months. Absolutely rock solid. So we don't see any technological reason or availability of products or anything related to the products that we are manufacturing as the region for the push out. I think I will leave it to you guys to speculate on, on what might be causing the deployment push out but it's nothing related to our products.
Simon Leopold - Raymond James: Okay. And you mentioned a number in your discussion on the data center outlook for 2015. I believe you said, expectations of greater than 45% growth in '15. Did I get that number right?
Stefan Murry: That’s, right. 45% or greater year-over-year 2015 compared to 2014.
Simon Leopold - Raymond James: Okay. And then one last one. Somebody's got to ask about the departure of the CFO. So pretty surprising. Stock was trading somewhat weakly today. So if there is anything more you can help us understand, why this is occurring? It's a surprise generally to investors and analysts, bit of a yellow flag. So we would like some more color.
Stefan Murry: Sure. Well, as we indicated, James is leaving for personal reasons to pursue other opportunities. I can't obviously elaborate on what those opportunities might be, that’s for him to disclose when we feel appropriate. What I can say is that it doesn’t have anything to do with any disagreement about our financials or any strategic disagreement among the management team. Nothing onerous like that.
Operator: Troy Jensen with Piper Jaffray has the next question.
Troy Jensen - Piper Jaffray: Congratulations on the nice results, gentlemen. I will step in, start with you on the DC side, data center side. Any new significant wins in the quarter, new customer wins?
Stefan Murry: We don't have any new wins in data center in the quarter. We do have a number of ongoing qualifications though, with new customers that we hope to talk a little bit more about on our next call.
Troy Jensen - Piper Jaffray: Okay. And then just a follow-up on Simon's all or Simon's question. You say, predicting 45% growth next year, can you just help us with the visibility that you are getting from these data center customers. Most other optical companies don't have visibility behind kind of a quarter. So, just the confidence to say such a big growth rate.
Stefan Murry: Well, I think there is two things. Number one, as we have indicated previously, I think we do tend to have better visibility than most companies in this business because, again, we are dealing directly with the large data center operators that are our customers. So the other thing as a kind of indicated in the remarks, the technology transition that we are seeing from 10 gig to 40 gig and then 40 gig to 100 gig in the middle part of next year. That's significant because they need to give us a lot of visibility into those transitions so that we can make sure that we are supporting them as they make those transition. In other words, making sure that we have got the production capacity in place and what have you. So we have had quite a few detailed discussions with the customers about their plans for 2015 and that's why we feel fairly comfortable in talking about it. It's worth pointing out too that, you know I want to emphasize here that every time when we undergo a transition in data rates from a slower speed to a higher speed, that tends to have an impact on the ASP. In other words, we are getting a higher ASP for these newer generations of products. So again, we are not necessarily counting on a whole lot of port growth, although, again, we don't necessarily see any deceleration in it. But even if that were to occur, the increase in ASP will allow us to grow the revenue at a very quick rate even without, say a lot of growth in port count itself.
Troy Jensen - Piper Jaffray: Great. Last question for me then. You talked about some cable TV design wins. Can you just kind of help us out with the timeline for when those start to monetize and maybe the magnitude of the opportunity here.
Stefan Murry: Well, as we indicated what we have are awards of, basically, development contracts, if you will. In other words, we have been given the green light to go ahead and develop these products for the customer. We expect to finish the development by the end of the year and then revenue should start to flow fairly quickly after that. Now not all for those would be exactly at the same time obviously. So there will be a -- some of them will be earlier in Q4 and some of them will be a little later in Q4. But we should start to see revenue flow fairly quickly after that.
Operator: Moving on to Paul Silverstein with Cowen.
Paul Silverstein - Cowen & Company: Several questions if I may. So first off, any 10% customers?
Stefan Murry: Yes. We had one 10% customer in the quarter.
Paul Silverstein - Cowen & Company: And your thoughts on how large a contribution that made?
Stefan Murry: It was substantial contribution. I think it was 47%.
Paul Silverstein - Cowen & Company: 47%, okay. Would it be fair to assume that was in -- that had to be in data center, obviously (indiscernible)?
Stefan Murry: Correct. That’s right.
Paul Silverstein - Cowen & Company: It seems that the four large data center customers, are they just large in terms of size of the customers not necessarily what they have been buying to date. Did all four contribute to revenues in the quarter?
Stefan Murry: Yes. All four contributed.
Paul Silverstein - Cowen & Company: Did all four grow and more importantly when you look out to the future, are you expecting meaningful growth from all four as you go forward?
Stefan Murry: Let's see. They all grew I believe. At least the two, ones that contributed the most, grew. Obviously one grew quite a bit in dollar terms more than the others. We do moving forward continue to expect to see them all grow and, again, we do have some additional qualifications that are undergoing right now.
Paul Silverstein - Cowen & Company: All right. And the 10% customer, was it the same one as the one from last quarter?
Stefan Murry: Yes. It was one of the two from...
Paul Silverstein - Cowen & Company: All right. And Stefan, going through your comment about port speed versus more ports, assuming that you continue to penetrate and if we assume away any new wins and just focus and look for large data center customers that you have and one were to assume that you continue to gain footprint. Correct me if I'm wrong, but in two of the cases, the relatively new relationships and I assume that the port count that you currently have relatively small but growing in the third case while a little bit older vintage, there again it seems like you are still early in the ramp. So, I guess, where I am going with this, it seems to me you should be gaining a (indiscernible) number of ports over time over and above the ship to higher line rate. But I want to make sure I understand it correctly.
Stefan Murry: Yes. I think that's a fair assessment. What I was trying to get at with the line rates is that when we talk about 45% growth year-over-year, for example, that's not necessarily implying that there is exactly a 45% growth in port count or a higher growth in that if you count for maybe some price erosion or whatever. I just want to -- I don't want you to extrapolate the number of ports directly, that's all I'm saying.
Paul Silverstein - Cowen & Company: Understood. But maybe I misunderstood your earlier comment because I thought your comment was that that was mostly just from an increase in the line that as opposed to much of any growth in port count. But maybe I misunderstood you.
Stefan Murry: No. Again, I'm not trying to draw any conclusion about whether our ports are actually growing or not. I mean in fact they have been. But what I'm trying to say, is that for 2015, going into 2015, we have two effects. We have whatever happens to the actual number of ports that we sell up, down or sideway. But keep in mind that we also have this transition from more and more 40 gig and then in the middle part of next year we expect to see 100 gig layering in. And those will have a significantly higher ASP. So that affect in and of itself can account for quite a bit of growth regardless of the number of ports. Does that make sense?
Paul Silverstein - Cowen & Company: Understood. But just to be clear, Stefan, it sounds like there are two major drivers. There is ongoing growth in port count as you more deeply penetrate the customers you have and perhaps any additional customers and there is the increase in line rate.
Stefan Murry: Yes, that’s correct. That’s absolutely correct.
Paul Silverstein - Cowen & Company: All right. And to, I think it was Troy's question, but to your statement that you have another customer in qualification. Were you referring to a new customer that you haven't yet announced or is it one of the existing customers that’s in qualification?
Stefan Murry: A new customer that we haven't announced.
Paul Silverstein - Cowen & Company: So that would make your fifth major data center customer.
Stefan Murry: Correct.
Paul Silverstein - Cowen & Company: All right. And on the gross margin front. The small gross margin performance, is that primarily or exclusively a function of the mix or is there something else going on?
Stefan Murry: No. I mean it's the same kind of things that have been driving our gross margin before. So the mix is the major factor there. Obviously, an overweight of data center revenue tends to be accretive to gross margin relative, for example, cable TV.
Paul Silverstein - Cowen & Company: All right. And then one more if I may. On the visibility question, which has been asked by others, again, I apologize but I have got to come back to it. I understand you gave a forecast, I assume the rolling forecast for data center, from your data center customers, from your fiber-to-the-home customer. And I understand that gives you some visibility on one quarter. But given what just happened as an example of how things can change unexpected in a very sudden manner, where you think you have visibility but it's not visibility that you actually saw. And correct me if I am wrong, but on the fiber-to-the-home side, I thought historically you have cited that you are building the capacity against firm orders albeit perhaps new orders really firm and so you shifted. But the obvious question is, how often do you get these rolling forecasts? How confident can you truly be, whether it be data center or fiber-to-the-home in terms of the visibility and predictability of the business. To some extent perhaps it's a rhetorical question but if you look at this historically, what type of confidence level can you and we have?
Stefan Murry: Yes, it's a very fair question. I think it's worthwhile to start by touching a little bit on the differences between the fiber-to-the-home and the data center deployments, okay. Fiber-to-the-home as you know is a very new technology, its new deployments and frankly certain aspects of those deployments are not within the control of our customer. It's a lot more complicated in that sense. It's not -- it can't be completely forecast even by our customer no matter what they would like to do, right, in fiber-to-the-home. Because there is other extrinsic things that come into play there. And Simon mentioned some possibilities for those types of things in his question earlier. On the other hand, data center is very much in the control of the customer. They have data centers that they have built out, that there upgrading to higher data rates, for example. They have new data centers that they are building and building online and all those things are very predictable and very much under the control of the customer. So I think there is a -- I think we're getting very good visibility both in the fiber-to-the-home and data centers from our customers in the sense that they're telling us in a very open way, what they plan to do. Now, to your point, certainly those plans can change from time to time and in the fiber-to-the-home sense that perhaps is a little bit more likely because of the extrinsic factors that affect those types of deployment. But we feel very strongly that the data center business is more predictable and certainly our past history indicates that the forecast that we get from the customers tend to be very accurate, if anything, a little bit of an underestimate. And then the final thing on the data center market that I want to say is, for the growth rate that we are talking about, we are not only talking about the existing customers that we have but bringing new customers as well. And so we are not only relying on forecast from one customer or two customers but we are layering and diversifying our customer base and that also will contribute to growth and lessen our reliance on any one particular customer's forecast.
Paul Silverstein - Cowen & Company: So, Stefan that said, in your 45% growth forecast for next year for data center. In that forecast are you assuming more than five customers i.e. new customers on top of the customer that’s coming on? Or is that just from the five customers that you have?
Stefan Murry: It's substantially from those five customers although we do expect that we will continue to undergo qualification activities with additional customers. And so there may be some upside to that.
Operator: We will now hear from Richard Shannon with Craig-Hallum.
Unidentified Analyst: This guys, [Jorge] (ph). Actually I'm here for Richard. So just a couple of questions for me. One, on the ONU product. It seems your FTTH customer has pushed out its plans for a couple of quarters. Do you have any update in which we can expect the initial shipments of the ONU units.
Stefan Murry: Not much update on, other than what we said in the remarks that we continue to make progress talking to them about qualification and things like that. So not much else I can say beyond that.
Unidentified Analyst: Okay. So I think initially we were expecting the ONUs to begin shipping this quarter. So that’s not the case anymore then?
Stefan Murry: Yes, that's correct.
Unidentified Analyst: Okay. And then last question on the data center. Based on your comments, that 40 gig would probably reach, will be close to 50% of the sales. That seems to imply that 10-gig shipments, unit shipments would be falling down in the second half. I just would like to get more color around that. Is this just based on your two customers that are probably shifting higher speeds a lot faster than the rest of the industry or is there probably qualifications?
Stefan Murry: Yes. I think that's pretty accurate. And in fact one of the customers is moving a little earlier than the other ones but that's exactly what's going on. It's a customer's specific kind of thing.
Operator: (Operator Instructions) And we will now hear from Krishna Shankar with Roth Capital.
Krishna Shankar - Roth Capital: Yes, when you look at the cable segment of your businesses, the growth in the second half of this year is going to be driven by mostly the U.S. DOCSIS 3.1 and deeper fiber deployment, or can you talk about the international cable markets and how they may contribute to growth?
Stefan Murry: Yes. So we do continue to expect that the growth for most of the second half is going to continue to come from sort of international markets. As we talked about our DOCSIS 3.1 products won't be really available until towards the end of the year. Some of them may contribute a little bit in Q4 but mostly not. So most of the growth is going to come from the traditional sources that we have talked about in the past and a lot of that is international, in South and Southeast Asia like we mentioned.
Krishna Shankar - Roth Capital: Okay. And then similar to data center where you would expect 45% revenue growth next year, can you give us some range for what you think the cable part of your business that could grow in 2015 given the likely scenario for DOCSIS 3.1 and continued international growth?
Stefan Murry: Yes. As we talked about in our remarks earlier, the cable TV business we expect to see revenue growth in excess of 20% next year, year-over-year.
Krishna Shankar - Roth Capital: Okay. And then, I guess it's still very early to talk about the fiber-to-the-home deployment but if your core customer starts to deploy next year and extends its traditional cities, what could be the range of revenue growth for FTTH next year, you think?
Stefan Murry: Yes. We are not really able to take you much this far in advance. I think as you can appreciate, it sensitively depends on when they get you started and how fast they continue to ramp. I would expect to see -- it's not going to be a step function, right? I mean they're not going to go from pre-deployment type quantities to instantly large quantities. So there will be a period of ramp and we think that that ramp, basically, or the start of that ramp if you will, is probably delayed by one to two quarters.
Operator: And this concludes our Q&A session for today. Dr. Lin, I will turn the conference back to you for closing or additional remarks.
Thompson Lin: Okay. Thank you for joining us today. We are very pleased with our Q2 results and we believe that we are on track our key growth initiatives. As one of the few optical providers focused on the access market, we believe that we are well positioned for continued growth in all three of our target markets. We look forward to continue to [fit] (ph) at both the top and bottom line. Again, we thank you for your support.
Operator: And again, ladies and gentlemen, that does concluded conference for today. We thank you all for your participation.